Operator: Good day, ladies and gentlemen, welcome to the Energy Focus Fourth Quarter and Fiscal Year 2015 Earnings Conference Call. Today’s call is being recorded. At this time, I would like to turn the conference over to Ms. Marcia Miller, Chief Financial Officer. Please go ahead, Ma’am.
Marcia Miller: Thank you, Katherine. Good morning, everyone and thank you for joining us Energy Focus’s fourth quarter and year 2015 earnings conference call. Today, James Tu, our Executive Chairman, Eric Hilliard, our President and Chief Executive Officer, and I will report on our results for the quarter and year. The news release with our earnings results, and our quarterly report filed on 10-K have been posted to our website under the Investors section. As a reminder today, the discussion will include forward-looking statements, including predictions, expectations, estimates and other information that might be considered forward-looking. These forward-looking statements are subject to numerous risks and uncertainties. We encourage you to review our most recent filings with the Securities and Exchange Commission including our 10-K and 10-Qs for a complete discussion of these factors and other risks that might affect our future results or the market price of our stock. We are not obligating ourselves to publicly release any revisions to these forward-looking statements in light of new information or future events. Now, I'd like to turn the call over to James.
James Tu: Thanks Marcia. Good morning everyone and thank you for your participation in our fourth quarter and full year 2015 earnings call. In this call, as usual, I will focus on updating with you our business development efforts and progress, and Marcia Miller will discuss our financial and operational results in more details. We will then open up the call for questions. As you have read from our press release this morning, fourth quarter 2015 marked yet another high-growth period for Energy Focus. Our total sales grew 95% over the same quarter last year with continuing strong sales to the US Navy combined with 396% increase in our commercial sales from the same period last year. And we also continued to see significant profitability improvement from a year ago, with gross margin 43.9% and operating margin at 9.6%, up from gross margin of 36% and operating loss a year ago. Before I dive into more detailed review of the quarter and the whole year in 2015, I would like to affirm and clarify our outlook for the military and maritime sales for the first half of 2016. As we stated in the press release, the most adverse event during the fourth quarter was the budget impasse of the US government. Although the budget was passed later in October, the overhanging concerns of budget uncertainty coupled with year-end inertia make decisions dramatically slowed down purchases of our military and maritime product, especially navy ships during the quarter. Although we did ship approximately $10 million of military products during the quarter, our distributors saw abnormally slow movement of their inventory stock of our product, and therefore this temporary sales bottleneck will impact our sales the most in the first quarter of 2016. We believe as we stated in the press release that this sales weakness is fairly [indiscernible] and nothing fundamental. Our niche focus remains the only qualified and approved LED lighting provider to retrofit the progress in sockets of the US Navy fleet. In fact, since the beginning of 2016, as the budget overhang started to solve, and as we intensified our aggressive business development efforts at the ship level, we have seen purchases from the ships, which now reached 178, resumed gradually back to a more normal consistent pattern. Therefore, at this point, we expect the financial impact from the budget concerns to become confined primarily within the first quarter and partially second quarter. Now, apart from this temporary hiccup, fourth quarter 2015 represented yet another period of exciting progress in many aspects of our business. During the quarter, we launched a line of new LED lighting products outside of our core Military Intellitube for the Navy ships. These products include a lot of Military Intellitube for Military Sealift Command as well as select foreign Navy. T5 replacement event or small lighting fixtures, and afford for Intellitube for high pay application in the Navy ships. Therefore, we continue to expand our footprint in addressable markets within the US Navy and ally Navy market. Most notably, in the fourth quarter of 2015, we saw accelerating growth momentum for our commercial lines business, which generated $6.9 million in sales, almost five times the sales a year ago, and 107% increase from third quarter 2015. During the quarter, we started delivering products to Cleveland Clinic, the marquee accounts we won and announced in the third quarter and we expect that our relationship with the Cleveland Clinic will strengthen and expand over time as we become the trusted LED lighting partner for this prestigious and sizeable institution that occupies over 180 buildings across the country. In addition, we obtained four additional large hospital systems as new customers, who gave us initial orders. Overall, we continue to witness expanding interest in list of prospects and customers from healthcare system’s re-approach and we believe that our potential to be the leading LED lighting partner for hospitals remains extremely exciting and promising. Other notable commercial sales made during the quarter include a 2 million square foot factory of the largest tire manufacturer in the world that operates 140 factories worldwide, including 20 in the US, The first 17 malls of our Fortune 500 mall operator with 120 locations throughout the US, a large private university in New York City, a leading medical research institute of the Department of Health and Human Services with the GSA market, and an additional five school districts throughout the country. We’re equally excited to have made inroads into two new government markets, as we made our first sale to a VA Hospital system and our first sale to a federal prison system. The nation’s VA Hospital system cover 150 hospitals and 1,400 community-based outpatient clinics, and the country’s prison systems include 1,800 federal and state facilities, as well as 3,200 county jails across the country. Both verticals have used predominantly fluorescent lights in the facilities, with long burn hours and therefore energy and maintenance savings, as well as human wellness improvement potential for LED retrofit are substantial. And both represent significant incremental new subsets of a broader government market for Energy Focus to take around and to lead. For the 2015 year, Energy Focus again made tremendous and transformative progress in multiple front. In business development, for the military products, we expanded our Navy fleet penetration to 30% from well below 10% in 2014, and we entered into the foreign Navy market with our first sale to the Royal Australian Navy. For our commercial product, we retrofitted a total of 41 school districts, entered into the largest healthcare retrofit contract ever in the country with the Cleveland Clinic, obtained initial sales with 10 national accounts with over 3,800 locations. We also initiated an exclusive partnership with the US Green Building Council, the premier global leader in building sustainability standards to jointly promote LED lighting in the K-12 school space. On operations, we substantially scaled up our production capacity of the military and maritime product and recognized improved operational efficiency that resulted in higher gross margins. We also installed a new line of SMT [ph] equipment to produce additional electronic components in our Ohio facility, and we upgraded to a new enterprise resource planning software system. We also opened our first overseas office in Taiwan in the third quarter of 2015 and have since made significant progress in expediting our product development and strengthening and expanding our Asian supply chain to support the ongoing growth of our commercial product line. In financial performance, we grew our topline sales by 184%, far above our long-term annual sales growth target of 50%. And we achieved record sales and profitability level. Meantime, we saw our commercial product sales grow 148% from 2014. In the third quarter of 2015, we also successfully raised $23.6 million in a follow-on offering and significantly strengthened our balance sheet, which now includes $34.6 million of cash with no debt at the end of the year. And despite of significant volatilities, our stock price rose from $4.40 to $13.75, a more than 200% increase during 2015 reflecting our value creation from the foundation we have laid since the second half of 2013 and the corresponding growth that ensued. On our sustainability impact, we are pleased that based on the products we have sold in 2015, we have helped our clients reduce energy consumption by an estimated 68,000 megawatt hours, with equivalent of adding 55 megawatt power generation capacity for our customers. These energy savings also equate to removing approximately 47,000 tons of carbon dioxide or removal of 9,900 gas engine cars. Since this is the fair beginning of our growth, we very much look forward to substantially expanding our sustainability impact as we retrofit more government and business facilities in 2016 and beyond. Looking into 2016, as we stated in our press release, our military and maritime sales will likely slowdown from the 2015 level due to lower sales during the first half of 2016. We do expect the sales run rate from the existing fleet should stabilize by the end of the second quarter. Meantime, we look forward to entering the Navy ship renovation and new ship building market by launching additional LED fixtures product for this new market and we also look forward to growing our falling Navy sales further as we continue to engage with several country’s Navies for our military and maritime product. Our long-term goal for our military and maritime business is to become the most trusted and dominant LED lighting partner for the US Navy as well as the 20 plus US-allied Navies as they adopt LED lighting for their fleet. And we plan to continue to invest in developing and completing our product portfolio respectively address the needs of the global Navy market. And needless to say, we are excited about the rising momentum of our commercial business, which undoubtedly will be the main driver of Energy Focus growth in the years to come due to the sheer magnitude of opportunities that cover 12 billion existing fluorescent sockets and additional 1 billion plus high bay lighting fixtures worldwide. While most of our sales opportunities have long lead time, to confirm it, due to our direct sales approach to often times very large government or business organizations, we have been contemplating and expanding the list of our opportunities as well as channel partners in our targeted verticals and regions, and we have acquired quite a number of high-profile early adaptive customers. Our investments in development the industry-leading commercial products and penetrating our target markets over the past two years are now starting to contribute to our overall sales growth as we have seen in the fourth quarter of 2015, when commercial sales grew almost 400% from a year ago. In 2016, we plan to continue to expand our sales teams and marketing campaigns in our existing markets in the Midwest, Northeast and Mid-Atlantic. And in the meantime expand our geographic footprints by establishing sales teams and offices in the Southern and Western parts of the United States. We also plan to accelerate our penetration into the performance contracting industry further by expanding our performance contracting sales force, further solidifying our brand trust and leadership within the ESCO industry and working more closely with our ESCO partners for LED retrofit project. Last, but not least, I am also excited to share with you that our commercial product development group has been developing an additional line of products to complement our tubular LED portfolio to more comprehensively serve our customers lighting needs. We plan to announce a number of impactful and industry-leading products in upcoming LIGHTFAIR to be held from April 26-28 in San Diego, and you will be hearing from us about these product launches within the next few weeks. As we mentioned in the press release, we expect the budget issue in the fourth quarter of 2015, which has been resolved to primarily impact our first quarter and partially second quarter sales and gross margins because of lower military and maritime product sales. And aside from quarter-over-quarter volatility due to contract and order timing, our commercial sales in 2016 should continue to grow in a relatively rapid fashion. And therefore, at this point, despite of the temporary order irregularity of the military products in the first half of the year, we continue to look forward to a year of overall sales growth over 2015 as the growth in commercial products more than compensate the potential shortfall on our military and maritime sales. In closing, I would like to reiterate that despite the fairly short-term blip of our financial performance expected from the volatility of our military sales, Energy Focus’ long-term growth prospect has never been more validated today in our company’s history. Based on the pipeline of opportunities we have in this early part of the year, we believe that our commercial sales are poised to have a breakout year in 2016 like what we experienced in 2015 for our military and maritime business. As the LED lighting retrofit for enterprise market is just entering the very beginning of this multiyear growth path, we are moving full speed ahead with all our growth initiatives, be it geographic, product, technology, business development, our leadership expansion for our commercial business to not only optimize our growth, but also maximize our market and mindshare in our targeted market. Meantime, I would like to express our deepest gratitude to our employees that dedicated themselves throughout 2015 to facilitate such an inspiring and brilliant year of financial performance and operational excellence. I also like to thank our shareholders many of who are new to Energy Focus for your support and confidence in our long term plan to build an extremely exciting and trusted brand and platform to introduce breakthrough LED lighting products and solutions to our enterprise customers in the most timely and effective manner as the industry evolved exponentially towards offering better lighting efficiency and more intent building control capabilities. Now, I would like to turn the call to Marcia for a more specifics on our financial performances of the quarter and the whole year 2015, after which we will be happy to answer any question you might have. Marcia?
Marcia Miller: Thank you, James. Before I get into the details, I’d like to remind everyone that during the third quarter of 2015, we reclassified the results of our former United Kingdom subsidiary, Crescent Lighting Limited, and our former turnkey solutions business, Energy Focus LED Solutions, to discontinued operations in our financial statements. Our historical results reflect this reclassification. We are very pleased to report another strong quarter to end a record 2015 year of financial results. Sales for the quarter was $17.2 million, an increase of 95% from prior year’s fourth quarter. Sales of our commercial products were almost four times those of the prior year and increased 107% sequentially from the third quarter 2015. Sales of our government products for the US Navy increased 39% from the prior year’s fourth quarter, but declined 31% sequentially resulting in a sequential decline in total sales of 6%. Through the quarter, commercial product sales comprised approximately 40% of the total, while sales for the Navy comprised approximately 60% of the total. The shift in product mix resulted in gross margins of 43.9%, a decline of 5.9 points from the third quarter of 2015 and an increase of 7.8 points from the prior year’s fourth quarter. We have said that we have seen improvements in gross margin resulting from improved operating efficiencies and our supply chain, building economies of scale from sales volume increases and product cost reduction efforts from value engineering processes, but that gross margins will go down as sales of commercial products became a bigger part of our total sales. Gross margins for the quarter exceeded our long-term target of 35%, but we do expect them to continue to drop from the fourth quarter level as sales mix changes to higher volume growth of our commercial products and our core Navy products. I would like to add that we have not seen significant margin pressure from either military or commercial products. Operating expenses increased by $2.9 million to $6.1 million from the prior-year’s quarter and approximately $700,000 from the third quarter of 2015. The increase in product development expenses can be partially attributed to our Taiwan R&D and product development office, which we opened in July 2015. [indiscernible] significant portion of our commercial products in Asia and having engineering resources close to our vendor partners allows us to ensure product quality and puts us closer to the technology innovation happening in Asia. Selling, general and administrative expenses increased $2.4 million to $5.2 million from the prior year’s quarter and approximately $950,000 of the increase was due to higher sales commission. Effective October 1, 2015, we revised our selling relationship for our government products for the US Navy and are now using an outside sales representative who earns a commission on these sales. Prior to the fourth quarter, we were using this particular sales representative as a distributor who would then in turn sell to another distributor for the Navy. We believe the change in selling relationship allows us to stay closer to the Navy supply chain management. The remainder of the increase is due to higher expenses to support our growth in our commercial product sales including higher salaries and related benefit as we continue to add sales support and marketing personnel, higher consulting services and higher trade shows and travel expenses. At the end of the fourth quarter, we had about 40 sales and marketing personnel compared to 32 at the end of the third quarter and 26 at the end of 2014. We plan to continue to add to our direct sales force and invest in marketing and other talent and infrastructure to support the increasing scale of our operations across variety of functions. Included in the fourth quarter is $123,000 benefit to the provision for the US federal and state income taxes. [indiscernible] carry-forward as change in our estimated taxable income for the year. Our annual effective tax rate for 2015 was 1.5% from continuing operations. Our effective tax rate is lower than the US statutory tax rate due to decrease in the valuation allowance as a result of the utilization of $6.2 million in net operating loss carry-forward. At 12/31/2015, we had NOLs of approximately $69.1 million. However due to changes in our capital structure, approximately $14.8 million of this amount is available to offset future taxable income after the application of the limits under Section 382 of the US tax code. As a result of the annual application of this limitation, in 2016, we expect to have approximately $6 million of the NOL available [indiscernible]. Income from continuing operations for the fourth quarter of 2015 was $1.7 million and net income including discontinued operations was $1.3 million or $0.11 per share on a fully diluted basis. In the prior year’s fourth quarter, we recorded a loss from continuing operation of $65,000 and a net loss including discontinued operations was $750,000 or $0.08 per share. We have been in ongoing dispute with a buyer of our [indiscernible] products business that we sold in November 2015. But we’ve reached an agreement in principle to settle for this $300,000 remaining escrow balance and we’re working toward a written settlement agreement. We recorded this anticipated settlement plus legal fees incurred in the fourth quarter as well as discontinued operations for the quarter. Net sales for the full 2015 year was $64.4 million, an increase of 184% compared to 2014. Commercial product sales increased 148% as we continued to penetrate our targeted vertical markets of education, industrial manufacturers, national retailers and hospitals. Military maritime product sales increased 196% as a result of continued high volume sales to distributors for the U.S. Navy. Income from continuing operations was $9.5 million in 2015, an increase of $13.7 million compared to a net loss from continuing operations of $4.2 million in 2014 which included a non-cash charge of $2.3 million to write-off the unamortized discount associated with last year's convertible notes into common stock. Net income including discontinued operations was $8.8 million or $0.82 per diluted share. This compares with a net loss of $5.8 million or $0.75 per share in 2014. As James mentioned, we completed a follow-on offer during the third quarter and our balance sheet remains strong with $34.6 million in cash and no debt at December 31, 2015. Our inventory balance stood at $7.7 million at year-end but due to slight decrease during the quarter, we expect inventory levels to rise somewhat from where they currently stand so we can meet our customers’ delivery requirements as our commercial product sales continue to grow. Our accounts receivable balance was $10.1 million at the end of the year compared to $8 million at the end of the third quarter and $2.7 million at December 31, 2014. The increase in accounts receivable was primarily due to the timing of sales during the quarter. Turning to the cash flow, net cash provided by operating activities of $4.4 million in 2015 resulted from net income adjusted for non-cash items including depreciation and amortization, stock-based compensations, and adjustment to the reserve for slow-moving and obsolete inventories. Net cash used in investment activity was $2.2 million and consisted of the acquisition of property and equipment primarily related to the purchase of equipment to be used in our Buy American product initiative. Net cash provided by financing activity for the year was $26 million and was primarily due to receiving proceeds $23.6 million from the follow-on offering which closed in September 2015 and receiving proceeds of $2.5 million from exercises of outstanding warrants. We have said that our operating expenses are expected to continue to grow as we [Technical Difficulty] and strengthen our management team to support geographic and market share expansion merrily for our commercial products. We added approximately 17 people during the fourth quarter and had 122 full-time employees at year end. This compares to 24 full-time employees at the end of 2014. And as we said, we do expect to continue to add people throughout our organization to support our growth. Additionally, we increased have increased our manufacturing capacity in Solon, Ohio where we had been leasing 35,000 square feet including about 15,000 square feet of office space at the end of 2014 with 75,000 square feet at the end of 2015. And we’ve expanded our capacity of our Asian vendor partners to propose the growth in our commercial product line. Finally, we are planning to relocate our New York City office to a larger and more suitable space in the second quarter. So, despite a soft first quarter we are gearing up for a year of overall sales growth in 2016. With that I’ll turn the call back to the operator for questions. Catherine can you [Technical Difficulty]?
Operator: [Operator Instructions] And we’ll take our first question from Carter Driscoll with FBR.
Carter Driscoll: You guys hear me?
Operator: Yes sir, I can hear you.
Carter Driscoll: James, Marcia?
Operator: One moment sir, I’ll go and check if the line is, you would join us please standby. And once again, ladies and gentlemen please standby we’ll going back live momentarily. The standby will be going back live. And Miller's line has been re-established. Can you hear me now ma'am?
Marcia Miller: We can thank you, we apologize everyone for the technical difficult.
Operator: And Mr. Driscoll please go ahead.
Carter Driscoll: First question obviously let’s talk about bit of the Navy weakness and then maybe the change in sales channel. So if I heard you correctly, I think that a couple of things, one of which is you expect at least to be able to generate the same level of revenue in 2016 as you did in 2015 is that - first is that correct?
James Tu: No, that’s not what I said. We’re talking about overall sales growth, we believe that this is not - we’re still going to grow from 2015 that’s overall sales growth because commercial grew a lot faster right and to compensate any drop in the military side.
Carter Driscoll: So you're not saying that the government side doesn't have the potential to decline in 2016?
James Tu: We believe that it will decline, it is likely to decline from 2015 but it will be compensated by the growth on the commercial side.
Carter Driscoll: And overall you're expecting growth in total revenue is that to fair to say?
James Tu: Yes.
Carter Driscoll: Can you quantify that more absolutely; I mean you think you can do double-digit growth year over year 20% growth?
James Tu: I think it's too early for us to give our guidance not precisely we are still a small organization the contract are some of the sizeable, so based on the pipelines we have seen as I said in the opening remark, we believe that we have a very strong potential to grow over 2015. And obviously as the third quarter progresses, we will give more clear guidance. As you know we have not given out guidance in the past and this is the quarter we - the first quarter we did that and the reason is that this is truly a blip, a temporary blip on the financial impact because of the missed budget issue that somewhat caught us off guard. And that said, I have to say that we grew a lot faster in 2015 over 2014 then what we like to grow on annual basis. So at some point we could run into this quarterly volatility and that's what we've seen in the past but from now on because of the sort of the impact we experienced in the fourth quarter and the first quarter of 2016 as well, we want to start giving out some guidance so people understand that this is not an operational or fundamental issue its truly, truly a short-term issue.
Carter Driscoll: But we’re talking more specifically about the Navy right, there are other areas that could potentially layer in hope in 2016 or when you’re talking about the government segment, are we still talking about overwhelmingly about the Navy?
James Tu: No, just the Navy we are talking about exactly just the Navy product sales.
Carter Driscoll: So Navy product sales but its potential of that segment could grow year over year if you layer in say military bases or Department of Defense or something along those lines is that --?
James Tu: Absolutely, if you include that but understand we are selling to those government entities with our commercial product, so we characterize the military maritime sales as very specific product portfolio that is different from commercial product portfolio, which could be sold into the government or military bases, right.
Carter Driscoll: So it's really mixing and matching of the two segments now and a blending so it's harder to isolate what might traditionally be considered a government product because of our commercial, your selling it as a commercial or segmenting it under the commercial and industrial?
James Tu: This is why if you look at our press release, we segmented by military maritime sales and commercial product sales.
Carter Driscoll: Next question is, you talked about changing the sales channel to get a better handle on sales directly into the Navy and moving more of a commission basis. So you believe this removes a layer in terms of distribution and brings you closer to that customer but I think you imply that maybe there was some inventory at that particular partner, could you talk to that a little bit more?
James Tu: Yeah, Eric Hilliard is going to elaborate on that.
Eric Hilliard: Okay thank you, so Collin, let me elaborate on that and I think that's a fair assessment of what you just laid out. As we decided to realign ourselves closer to the client base, it is to obviously gain as most transparency into the user as possible so that we have a better handle on the market, the channel and our ability to feed that market and channel on a consistent and standard basis. And so by realigning ourselves, we are able to have that transparency now, we have complete transparency now and complete the number of sockets that are filled, the vessels that they have, I mean on a weekly basis we are able to see that and that allows us a better planning platform now which was what we needed to do.
Carter Driscoll: Moving over to a nice win at Kohl's, the announcement, can you talk about how quickly you expect to at least to fill the initial order and what the next step would be if there is successful implementation and how would you potentially expand and argument your C&I sales and then maybe also talk about maybe geographically some of the different hospital changes, you started some initial sales [indiscernible] clinic?
James Tu: On the Kohl's, we’ve already got our first order, so we expect to have more orders. The first order covers the first 25 stores I believe and we’re going to expand from there. There are about 100 stores within the Kohl's system that this kind of particular location. I also like to add we have expanded our offering to their back of the house operation as well. So that’s additional opportunities outside of the press release we made. And that's actually a bigger opportunity, even bigger opportunities. So that's about Kohl's. As for the healthcare systems, obviously we function on a regional basis mostly for these healthcare systems and we have three existing offices in Midwest, Northeast and Mid-Atlantic and I think Ohio Midwest area is obviously where we come from and investing a lot of interest we have engaged with over 10 hospital systems just in Midwest. And we believe that we will continue to expand that we got into New York as well, we are working with already a state hospital system in New York already, so it's the most exciting vertical we have. One of the most exciting verticals we have.
Carter Driscoll: Talking about expanding some of your channels using some of the escrows performance contracting is that really for penetration [indiscernible] market more than any other sector or --?
James Tu: Yeah that's mostly for the government sector, right federal and state opportunities including the military bases. We are seeing a lot of traction there, ESCO is many of you know have this very unique financing mechanism to enable and it's upgrades for longer payback and we have been working on that sector for multiple years and we believe that we are seeing a very exciting breakout for that whole sector and we are consider the leading provider for the ESCO industry and we are expanding that aggressively. 2015 I think we are going to see pretty explosive potential there.
Carter Driscoll: And talk about the impact on the margin side from using ESCO, I would assume that it's going to put pressure on your corporate gross margin?
James Tu: Actually Carter, we have a pretty strict margin discipline. Our model is to continue to improve operationally efficiency for the organization so we can enable competitive price and value proposition to our customers. Truly I have to say that we are selling absolutely highest quality product in the market, I mean the issue is can be also price competitive and I believe that we have been able to do that and with a strong margin discipline.
Operator: Thank you. [Operator Instructions] We’ll go to [indiscernible].
Unidentified Analyst: Can you talk a little bit about the pattern that you're seeing with the US Navy right now that gives you the confidence on the recovery in that business? I think as you’re talking about a little bit of impact to 2Q, you would suggest that you're already seeing orders now for the back half of 2Q and just can you give us a just a bit more granularity on how that’s working and where the conference is coming from?
James Tu: I will talk about it and maybe Eric can pitch in as well. So we have seen as I said earlier that since 2016, opening of 2016 we have seen the orders started to come back alive from the ship level and we’re seeing pretty healthy rate of movement now. And on the other hand, the distributor still have the inventory to digest and I think based on the movement we are seeing right now, the sort of the impact on our orders, distributors order to us is probably going to be mostly in first quarter impact and a little bit on the second quarter. How much of that I think is a little early to tell but we should have that in the next 1 to 2 months but at this point we believe that it will heavily in the first quarter and slightly and modestly in the second quarter. And from third quarter, we expect a more stable rate of revenues.
Eric Hilliard: It sounds like you answered perfectly.
Unidentified Analyst: And with the foreign Navy, obviously you’re making some good progress there. If you look at kind of historical sales patterns and how those things ramped up, getting these initial orders is a very good move but how do you expect that to go forward and how should we think about that over the next several quarters, understanding that you’re not providing guidance?
James Tu: It's another exciting market for us and as I indicated that we have been talking to a few countries over the past year, we believe that Royal Australian Navy will continue to order, will give us more orders this year plus they have installed the first product that they order from us and they were very happy about it. There are a few more countries that are testing our products, I believe that additional one to two countries should become our customer in 2016 at least.
Unidentified Analyst: I’ll take the rest of my questions off-line but thanks a lot guys.
Operator: Thank you. I will now go to Amit Dayal with Rodman & Renshaw.
Amit Dayal: So does the guidance for the first quarter $7 million to $9 million in revenues imply nothing coming in from the Navy side?
James Tu: No, there will be some but again the commercial revenues obviously will be bigger the income than the military maritime sales but again, we are the quarter is not done yet that's the most we can do.
Amit Dayal: And just to double check on the margin side, is commercial revenues are going to be stronger component of revenues in 2016 should be anticipate margins to be on the 40% level for the year?
James Tu: Again, I think it's a little bit earlier too early to tell but I think it's too early to tell depends on the mix of the military product sales and the commercial product sales but obviously as we have always said that our long-term gross margin target is 35% and I don't see any reason why we will be not be at that level for 2016. How much more can be doing, again it depends on the mix. We can be above 35%, there is nothing that has changed and Marcia has indicated to that we have not seen any strong margin pressure in both either the military or commercial product line. So I think that's the most we can give out at this point just because of the mix is unclear at this point.
Amit Dayal: I guess the next question is for Marcia. What should we be using for tax rate for 2016?
Marcia Miller: So as I indicated we've got $6 million of NOL that we can utilize so anything beyond that would be likely tax at the statutory rate.
Amit Dayal: And just one final question for James may be, are we considering any personal financing options to support deployment order flow?
James Tu: We have been sort of prototyping different ways to go to the market to meet customer needs. I think it's too early to tell. We have the ability to do it but it has to be for the right type of customers. Honestly we are seeing just so many opportunities right now that we don't have to even consider providing financing, we are - our growth right now is pretty much limited by the ability for us to expand our staff. And so again will continue to prototype this potential new business and we will talk more about it when we are ready to launch.
Operator: Our next question comes from Mark Miller with The Benchmark Company.
Mark Miller: Just wondering about your R&D, are you going to stay roughly at the same level it has been the couple of - for the last two quarters for product development?
Marcia Miller: Likely yes, I mean it may fluctuate a little up or down depending on the product supplies that they need for development but generally that organization is pretty steady right now.
Mark Miller: So you expect to see maybe a 10% increase overall for next year or for this year?
Marcia Miller: Yeah, I mean we haven't really given out guidance but I’d say that's probably in the neighborhood. Like we said, we opened an R&D center in Taiwan and if we’re looking at resources it would likely happen there.
Mark Miller: All right. And also just from your sales guidance, are you anticipating a sequential, somewhat of a sequential decline in commercial sales for this quarter?
James Tu: Again, it's probably a little bit early to tell. We have a lot of opportunities in the pipeline and how much of that is coming through the first quarter, how much of that is coming to the second quarter is still too early to tell. I do have to say that, as we said that for the whole year, it's looking like we’re going to have a pretty strong growth on the commercial business overall. Again, our sales levels are still pretty modest for us to really manage across the smooth growth in a way - to have a very smooth quarter. Overall, on an annual basis, we believe that that's going to be, this is going to be a very exciting growth year.
Operator: Thank you. We will now go to George Gaspar, private investor.
Unidentified Analyst: Yes. Good morning to everyone. First question on property and equipment net, it jumped from 456,000 to 2.4 plus million. Can you identify the breakdown of that increase and how do you look at that requirement there and what your investment might be for the New Year here?
Marcia Miller: As we said, the acquisition of the property, plant and equipment was for surface mount technology equipment. What that does, it will allow us to look at making some of our own kind of components instead of sourcing them from the vendor. So that was the majority of the increase in 2015. That was much higher than it’s been historically. So I wouldn't anticipate 2016 capital fees to be anywhere near 2015.
Unidentified Analyst: Okay. But this is the carrying number, so I mean, I assume that it's going to be higher than your net property and equipment number, it should be higher than 2.5 million for 2016?
Marcia Miller: Yeah. I'm not completely sure I understand the question, but yeah, it was capital I guess added to the property, plant and equipment, and then we will depreciate it over the life of the equipment.
Unidentified Analyst: Got you. Okay. And secondly, I don’t know if you could possibly answer this question, you are in a pretty good position, you were pretty successful at getting an offering off at a much higher price than the current market and you’ve got a pretty good cash position relative to your operation stream. Do you see a strategy, are you looking around for product acquisition possibilities to broaden your operations even more than what you’re trying to do currently? You see that opportunity to do that?
James Tu: Yeah. George, obviously, we are always on the lookout for potential opportunities to expand our product portfolio. We are very careful doing that just because we want to be able to be the best in our - in any market we choose to be in. This is why our customers, most of them, very large enterprises trust a small company like Energy Focus. We're doing absolutely the best job by now. So when we consider acquiring other technologies or products, that's along the way of serving our customers better and there are actually a lot exciting technologies and potential out there from the building control space, what people call internal things, the IOP space that is also emerging and it's likely that we could expand our product portfolio, enhance our product appeal through acquisitions of these potential technologies that is not developed in-house. In the meantime, we are also developing our technologies for this emerging space. So to your question, we are constantly looking for technologies and products that can expand our portfolio to meet our customers’ needs better.
Unidentified Analyst: Great. Thank you for that explanation. You are certainly in a pretty prime position to take advantage of that and this market is really broadening out in the LED area and it looks like across the whole spectrum, there is plenty of opportunity. Thank you.
Operator: Thank you. We’ll now hear from Bill Hardy, private investor.
Unidentified Analyst: I think maybe be kind of little more clear to me what is going on, I was concerned about the accounts payable or accounts receivable on the balance sheet going from the second quarter of ‘15 at 2.6 million to the fourth quarter of ‘15 at 10.1 million. And maybe I can answer my own question and it would appear that those shipments which weren't paid for ended up going to your distributors’ warehouse and are sitting there waiting for Navy orders, is this a reasonable assumption or is somebody else owing you money?
Marcia Miller: No. You are right, but we ship to our Navy distributor and it's all the timing thing, I mean, they have 30 day payment terms and they pay in 30 days. So if we shipped it out about last half - of the last month of the quarter and they pay it in January. So it’s that AR.
Unidentified Analyst: Well, I guess why are they exploded to a four time quantity over the end of the second quarter of ‘15?
Marcia Miller: Well, I mean, if you look at our sales, the sales have grown and again, it's the timing. Most of our customers are on 30 or 60 day terms, and so depending on when we ship out large orders depends on when we pay for them, but again, we don't have any issues with our accounts receivable. Generally, our customers are paying timely.
James Tu: Yeah. Bill, if that’s - your concern is if there is any bad debt situation, this is not definitely the case. It is purely timing.
Unidentified Analyst: Well, do you expect then in the first quarter of ‘16 for those accounts payable to continue to increase?
Marcia Miller: You mean accounts receivable? So no, like I said, we've already collected the majority of what was sitting out there at December 31. Today is March 10 and again, we've got generally, 30, 45, or 60 day terms with our customers and so most of that AR has already turned over. So they paid.
Unidentified Analyst: So they paid down on the 10 million?
Marcia Miller: Yes.
Unidentified Analyst: What would you consider then to be a running rate of the accounts receivables in the future?
Marcia Miller: It really depends on the timing of shipments again. If - you take what you expect us to ship and divide it by 30 or 45 days and that's when we collect.
James Tu: Yeah. Bill, I have to add that this is a classic issue with a company like Energy Focus when our sales are not that large and average order size could be very large that impact our quarter. If we were a private company, we are not going to have this discussion. Because if we look at the company, everything is looking really, really exciting, except you have a quarter of blip and then you have to talk about the accounts receivable, you talk about sales and financial performance. That's purely temporary, but you look at everything we are developing, the pipeline and everything, it’s certainly exciting and unfortunately we are a public traded company and you are going to look at this quarter and say what's going on with the company, well, the answer is nothing. Everything is great. But we do learn that we still have a good portion of our sales in military maritime sales and we are subject to these issues that truly are somewhat unpredictable. But other than that, I would say that - I would - you chose to look beyond the quarterly number and say how are we executing towards our goal and what's the annual number going to look like.
Unidentified Analyst: Well, as investors, we have to take a long-term view.
James Tu: Yeah. Thank you.
Unidentified Analyst: When you look at the numbers, particularly in the accounts receivable, it raises a question as to why they are increasing so rapidly.
Marcia Miller: Again, it's the timing of shipments and it's not a collection problem, I assure you that.
Unidentified Analyst: Okay. So the Navy paying these bills are just not presenting you with orders?
James Tu: Well, as we say, the slowdown in the fourth quarter was the issue. [Technical Difficulty] Yeah.
Operator: Thank you. And Mr. Hardy, again, thank you for your question. [Operator Instructions] And we will go to Martin Yokosawa with Torii Asset Management.
Martin Yokosawa: You have the 30% penetration into the Navy, what is the expected terminal penetration that you can get?
James Tu: We like to continue to penetrate the Navy, I would say that, between 10% to 20% per year. So that should give us another two years, three years of run rate. On the other hand, we are also developing more products to come back and retrofit the same sockets with further rate of proposition at the end of this whole retrofit.
Martin Yokosawa: And this retrofit, you several times said the ship level, so now I guess the other level would be a base level, is that military base level or what is that exact ship level, why do you use that term versus something?
James Tu: Because we sell through the distributor, but the distributor has the fulfilment function, so we get the order from distributor and distributor gets the order from the ship level. On the other hand, we also have to sell at the ship level because we are Energy Focus, we got to educate our customers, right. So that's why I guess that's how you get to a level, the distribution level and the ship level. The military base is probably another market, it’s not our military maritime product.
Eric Hilliard: Martin, this is Eric. Is that clear enough or would you like me to go elaborate a little further on your question?
Martin Yokosawa: Go ahead and elaborate.
Eric Hilliard: Okay. The mechanisms for the Navy to actually acquire the assets they want are what are important here, because Energy Focus cannot obviously sell directly to the Navy. So we utilize the current mechanisms they have in place, they have a number of mechanisms. One, our distributor has a unique mechanism to take orders and deliver assets to the Navy, one being our product. And so we're removed in that regard. So that's why the partnership with our distributor is critical. But we still must go to the ship, which we have access to, we have base access - we have our account management force that goes out there to educate the platforms, one on the existing technology and the other is the application of the technology and how to acquire the technology to better align their acquisition mechanisms. And so that's why we speak in levels of ship level and distribution.
Martin Yokosawa: And then when you discuss the, you expect things to stay stabilize by the end of the second quarter, what's that stabilized rate?
James Tu: Again, I think it's probably too early to tell. If you look at our 2015, across the year, the quarterly run rate could be at $10 million to $15 million at the top. We will be striving towards I guess the $10 million level and that's the level we would like to stabilize in, around that level.
Martin Yokosawa: And then you have been delivering to the military, what satisfaction program do they have or you have with them, I mean, do they have any complaint, is everything great or how do they evaluate what you’ve sold on and how it's going?
Eric Hilliard: That's a great question. We have put out media communications. I think they exist on our YouTube channel and through our social media. The Navy has gone as far as to make videos of how absolutely inspired and enlightened they’ve become with Energy Focus and this product. And I can tell you that every ship we walk on and we walk on a lot of ships, that echoes throughout the U.S. Navy. Once they realize this product is available, they can acquire this product and all the benefits it brings to them from obviously fuel savings to maintenance savings to better quality of work and light for the Navy. So they’ve been absolutely thrilled as far as any type of feedback, we have received literally, I mean not on what everyone say, no negative feedback from the United States Navy. We have had no failures, we've had no concerns, no issues at all. So it's been great, and if you go out to our social media, or you join our social media, I think you’ll be able to see some of that out there, the videos specifically, which are great because what better testimonial than the US Navy themselves and the warfighters themselves talking about how much they enjoy this technology.
Martin Yokosawa: And then who were some of the other players trying to get access to the military sales?
Eric Hilliard: Well, I'm sure there are players out there trying, but fortunately, Energy Focus stands above all because we are the only qualified retrofit to the United States Navy this day. We’ve worked very hard and long at this. This just never happened overnight. There is a lot of you who've been with the company now. This was many years in the making to build this relationship, and so we expect to hold our position here for the future.
Martin Yokosawa: There was a remark that your growth 2015 over 2014 was a little quicker and faster than preferred, maybe you can elaborate that on your manufacturing capacity or utilization capacity or utilization rate?
James Tu: I think I'll talk about it first and then Marcia could pitch in. I think we did grow fast, we see a lot of demand from the ships and in hindsight, we probably grow 100%, instead of 180% [ph] just to smooth out the quarters. On the other hand, we were responding to customer demand, and we expanded our production capacity accordingly. Now, a good part of our staff are temporary workers. So we do have the flexibility to reduce the utility - our utilization to reduce the capacity in a flexible way. Marcia, you can elaborate further on that.
Marcia Miller: Yeah. I mean, that's exactly, we - as I mentioned in my comments, we started the year with 35,000 square feet, which included 15,000 square feet of office space and then expanded that to 75,000 square feet by the end of the year. So the building that we are in allows us the flexibility to lease more space as we need it. As James mentioned, our production workers start out as temporaries and then when we’re ready to add them to staff up the production area as full-time employees, we put them on our table, so it does give us that flexibility to scale up and down. The other thing that I can add is the Military IntelliTube, we source the products or we source the components in the US and then we’re primarily doing an assembly of it here. So it doesn't take necessarily a big time our capital investment and it's relatively easy for us to scale up and down. Having said that, the purchase of the service mount technology equipment will allow us to make some of our own sub components, which could help us take some cost out once we get that up and running, but generally we can be pretty flexible with our manufacturing capacity.
Martin Yokosawa: Do you foresee a shortage, because other people are - not the military, but for just even municipal applications, some large companies are gearing up and I'm sure the components, you have the same suppliers. I mean is there a foreseeable shortage?
James Tu: Well, that's a good question and that's why we reinforce and expand our Asian supply chain through the Taiwan office. We have multiple highly qualified and established suppliers now, I would say that we have made really exciting progress there over the past six months. So we ensure that we have very strong supply chain to feed the growth from the commercial business, and so again, that's obviously one of our priorities to ensure that we can meet the demand of our customers. So far, we haven't seen any issue and the capacity for our suppliers, qualified suppliers is pretty significant.
Martin Yokosawa: The last question is on - in the press release, there is a greatest growth opportunity in the commercial products, I’ve already seen you already have military people, you have had success in the military, US, and then expanding into international markets, why the commercial, because the commercial is so small that it can percentagewise grow or is it absolute dollars or is it the commercial or the military is finite and more or less finite and that's going to trail away in two, three years as a growth?
James Tu: Well, I think - we have said that, it is a niche market and we have said that the whole market size for the military products is about, for the core Navy product, it’s about $250 million and that has always been the case. On the other hand, the dynamics of LED product is that you continue to improve the efficiency and even intelligence of the products. So, our strategy is twofold. One is obviously continue to penetrate the military market, the Navy market. In addition to the U.S. Navy, also including the foreign Navy market and then continue to develop products that can expand outside of the IntelliTube market as well as adding new technologies. So in the few years’ timeframe, when we totally retrofit the fleet and we can come back with additional new products to - with lower power consumption and more intelligence and that applies to the commercial products as well. Many people believe that the LED market is finite, even the commercial side, you don't have or had to replace those bulbs again. I don't think that's true, especially for business markets where you have so many intelligence and still more efficiency to drive on that. So you have two exponential technologies in play here that I believe will shorten the total product life-cycle, you’re talking about probably 5 to 7 years of cycle where people will come back and replace the existing lighting because of the additional benefits and utilities you can get from the new generational products. I believe that's what we're going to see. So we have significant products that keep pushing better efficiency, better intelligence to meeting this potential demand.
Operator: Thank you. I would now like to turn the conference back over to James for any additional or closing remarks.
James Tu: Well. Thank you again for your participation in the call. As we said, we remain very excited about the prospect of Energy Focus, and we will look forward to talking to you again in our first quarter 2016 earnings call.
Operator: Thank you. And ladies and gentlemen, again, that does conclude today's conference. Thank you all again for your participation.